Operator: Good day, ladies and gentlemen. And welcome to the General Electric Fourth Quarter 2012 Earnings Conference Call. At this time all participants are in listen only mode. My name is Diana and I will be your conference coordinator today. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the program over to your host for today’s conference, Trevor Schauenberg, Vice President of Investor Communications. Please proceed.
Trevor Schauenberg: Thank you, Diana. Good morning, and welcome everyone. We are pleased to host today’s fourth quarter and total year 2012 earnings webcast. Regarding the materials for this webcast, we issued a press release earlier this morning and the presentation slides are available via the webcast. The slides are available on our website at www.ge.com/investor. As always, elements of this presentation are forward-looking and are based on our best view of the world and our businesses as we see them today. Those elements can change as the world changes. Please interpret them in that light. For today’s webcast we have our Chairman and CEO Jeff Immelt; and our Vice Chairman and CFO Keith Sherin. So to get started, we’ll turn over to our Chairman and CEO, Jeff Immelt.
Jeff Immelt: Great. Tevor thanks. Good morning, everybody. Look, the GE team had a very strong quarter. We saw real strength in the emerging markets and the developed region stabilized, orders grew by 7%, excluding foreign exchange and Wind, and organic growth was 4% in the quarter and 8% for the year. Earnings were strong with operating EPS up 13%. Industrial earnings were up 12% with all segments growing for the second straight quarter. Capital had another good quarter and for the year Industrial earnings were up 10% and Capital up 12%. We delivered on our margin commitments which grew by 120 basis points in the quarter and 30 basis points for the year. Industrial CFOA was also very strong in the quarter and for the year CFOA grew by 48% to $17.8 billion. We return substantial cash to investors in 2012 through dividends and buyback, and in the fourth quarter we announced the 12% increase in our dividend and expansion of our buyback program. Finally, December we announced the strategic acquisition of our Aviation business called Avio. So this was a very successful quarter for GE strengthened as the quarter continue and builds momentum for the future. Orders grew by 2% in the quarter. This is up 7% excluding again the impact of foreign exchange and Wind. We had a solid order growth in five of six businesses, order pricing grew by 0.5% in the quarter, equipment book-to-bill ratio was 1.2 and we entered the year with a record high backlog of $210 billion. Many of our businesses had great quarters, for instance, Healthcare homeowners grew by 7%, MR was up 12%, CT up 23% and ultrasound up 11%, and importantly, growth market order expanded by 12%. Our growth initiatives continue to deliver. Our growth regions expanded by 9% in the quarter and 11% for the year. Six of nine regions grew by double digits including Russia, Australia, Latin America, China, Africa and Asian. For the year, China grew by 19%. Services had another good quarter in revenue backlog and margins. Power Gen services had a very strong quarter. Service backlog grew to a record of $157 billion. We continue to launch new product and service offerings. We’re wining with our Aviation product lineup, which is giving us high share of Commercial Engine. Oil and Gas had record orders and backlog. Our subsea orders almost double versus last year and Distributed Power grew by 19% for the year. In November, we announced nine new service offerings for the Industrial Internet with 20 in the pipeline. So we continue to deliver in volatile markets. GE had a great margin performance in the quarter, margins grew by 120 basis points in the quarter and 30 basis points for the year, every business grew margins in the quarter and our performance really was driven by value gap expansion of $330 million, Service margins which grew by 190 basis points and simplification. For the year SG&A as a percentage of revenue was down 100 basis points. We achieve these results in spite of the fact that foreign exchange created a headwind for the year. We entered 2013 with substantial momentum. We expect to have 70 basis points of improvement in 2013. This is based on very positive value gap, structural cost and service margins which are really in the run rate and mix in 2013 should not be a drag, so really a good job by the GE team. GE had a very strong performance on cash as well for the year. We had $17.8 billion up 48%. Industrial CFOA in the quarter was $6.2 billion up 12%. We had good performance on working capital even while we continue to invest in growth. We end the year with a cash balance of $15.5 billion dollars and consolidated cash of $77 billion. Our strong Industrial CFOA performance plus capital dividend is supporting our plan for balance capital allocation. So we returned $12.4 billion to investors through dividend and buyback, and we expect this to continue in the future. We announced the acquisition of Avio in December $4.3 billion. As you know we have significant backlog of engines and shop visits. We’ve invested in capability, materials and capacity to improve our new engine margins. Recently you’ve seen several partnership announcements from GE Aviation in our supply chain. And Avio we are acquiring an existing position of engine development. They bring complementary technologies to GE. We think there is an opportunity to expand this technology beyond Aviation, and their substantial synergies about $200 million or more and relatively low execution risk. So 8.3 times EBITDA we believe this will generate a good return for our investors and we expect to close in the second half of ‘13 after regulatory approvals. So now I’m going to turn back over to Keith to talk about company operations.
Keith Sherin: Thank you, Jeff. I’m going to start with fourth quarter summary. So the income statement we had operations revenues of $39.3 billion. That’s reported up 4%, ex-FX revenues were up 5%. Industrial sales of $27.3 billion are up 2%, up 3% ex-FX again. Capital revenues of $11.8 billion were up 2% and operating earnings of $4.7 billion were up 13%. Operating earnings per share of $0.44 were up 13%. If you look, (inaudible) continuing EPS this year includes the impact of a non-operating pension and net earnings per share includes the impact of discontinued operations which I am going to cover on the next page. As Jeff said, year-to-date cash of $17.8 billion was up 48%, including the dividends from GE capital with great year on cash. For taxes, the GE rate, 21% for the quarter, that’s up about 6 points from last year mostly due to higher pre-tax income. In the fourth quarter GE rate is consistent with our rate through the third quarter and the low 23 we forecast all through the year. So right now we forecast a similar GE tax rate for 2013. The 6% GE Capital rate’s consistent with the mid single-digit rate we forecasted in the third quarter. As we mentioned in December, our plan for next year for GE Capital includes less tax benefits. So right now I forecast a rate of approximately 10% for 2013 for GECC. On the right side you can see the segment results. Total industrial segment profits up 12%, it’s great to have 07 at the industrial segments delivering positive earnings growth and these results also contributed to industrial segment profit of $15.5 billion, up 10% for the total year. GE Capital also had a strong quarter. Earnings were up 9%. If you include the impact of the preferred dividends, GE Capital represented 36% of total company earnings in the fourth quarter. Overall, a strong segment growth quarter, and I am going to cover each of the segments in more detail in a minute. Before I get to the businesses though, I will start with the other items in the quarter – fourth quarter. First, on the one-time benefits we had $0.01 of after-tax gains from two non-core dispositions that occurred in the fourth quarter in the segments. We sold the Thomas Medical business in Healthcare. That business sells disposable medical devices for cardiology, and we realized a $24 million after-tax gain; and in aviation, we sold Smiths business in California in Duarte which makes thrust reverser actuation equipment, and we realized a $67 million after-tax gain, so in total $0.01 on the benefits. We also had $0.02 of after-tax restructuring and other charges in the quarter. These charges related principally to continued cost structure improvements at GE Capital, at Healthcare, Power & Water, and Energy Management as well as some business development costs. On the bottom of the page, we had $305 million of charges in discontinued operations. We booked $286 million of additional reserves on a gray zone this quarter. While we watched the claims decline 28% in the third quarter, the claims in the fourth quarter were above our model expectations. So we revised our assumptions this quarter. Right now we’re reflecting a further slowing in the overall claims reduction rate than we had previously modeled and that brought our year end reserve to $700 million. So we will continue to update you as events and facts change on the gray zone rate. Right now, I’ll switch to the business results. First, I will start with Power & Water. As you know, this is the first quarter we’re reporting the three separate businesses. So Power & Water, the business continued to be impacted by wind, however the overall execution delivered positive operating results. Orders of 7.2 billion were down 16%, down 6% ex-wind. The equipment orders of $3.5 billion were down 26% driven by thermal and renewables. The thermal orders of $974 million were down 49% as we had orders for 26 gas turbines versus 50 last year and we also had orders for two steam turbines versus 20 last year. In addition there were $500 million of thermal order slips that went out of the fourth quarter into 2013. For the total year we had orders for 108 gas turbines versus 134 in 2011 and the total year thermal orders in dollars were down about 7%. Total thermal order pricing was up 1% in the fourth quarter and up 0.5% for the total year. Our renewables; fourth quarter renewable orders of $987 million were down 50%. We had orders for 412 wind turbines versus 1023 last year. Renewable order pricing was positive 0.4% and service orders of $3.6 billion were down 3%. Power Gen services was up 7% and you will see that’s important in terms of profit, but that was offset by nuclear which was down 15% in line with lower activity in Japan. For revenues of $7.7 billion, they were up 2%, that's driven by services. Equipment revenues of $3.9 billion were down 2% driven by thermal down 14%, partially offset by wind of 10%. We shipped 32 gas turbines versus 33 last year, and we shipped 722 wind turbines versus 688 last year. Service revenues of $3.7 billion were up 5% driven by PowerGen services, which was up 8%. In PowerGen services, our profit was up double-digit in the quarter. Total segment profit of $1.7 billion was up 5% as the benefits of the higher services and lower product costs more than offset lower prices. And in the quarter, margins expanded by 80 basis points. On the right side, oil and gas had another strong quarter closed out a great year. Orders of $5.6 billion were up 18%. Equipment orders of $3.1 billion were up 31% driven by the strong subsea systems and drilling and surface orders. Year-to-date, equipment orders were up 21%. Service orders of $2.4 billion were up 4% on again strong subsea systems orders. Total orders pricing was up 1.3%. We finished the year with a backlog of over $14.8 billion, up $2.6 billion from last year and our seventh consecutive quarter of positive orders pricing. Revenue of $4.5 billion was up 11% driven by equipment. Equipment revenues of $2.4 billion were up 27% driven by subsea systems, up 34%. Measurement and controls were up 63%. Turbomachinery was up 16%. And service revenue of $2.1 billion was down 2%. Segment profit of $649 million was up 14%. It was driven by the strong volume and positive pricing and our acquisitions continue to perform. For the year, they’re up significantly and above pro forma. So overall, another strong growth quarter for oil and gas. Next is aviation. The aviation team had another solid quarter in fourth quarter. Orders of $7.4 billion were up 8%. The commercial engine orders of $3.6 billion were up 9% driven by CFM LEAP and GEnx. Military engine orders of $632 million were up 57% driven by U.S. orders for F1-14 and T700 as well as foreign military orders for F1-10 engines. We ended the quarter with a backlog of $22.9 billion, up 6% versus the third quarter. Service orders in the quarter of $2.7 billion were up 1%. Commercial services were flat. The fourth quarter spares order rate was $22.3 million, which was flat with last year. As you know, we did see spares order stabilize in the fourth quarter and as you know, spares were down double digit all year long. So flat was an improvement and the total year rate was $22 million, down 11% from 2011. Total orders pricing was up 2.3% for the business. Revenue in the quarter, $5.5 billion, was up 11%. That's driven by equipment, which was up 19%, Services were up 3%. We shipped 589 commercial engines in the fourth quarter, which was up 71 engines from last year and we shipped 48 GEnx units in the fourth quarter. Commercial service revenues of $1.8 billion were flat in the quarter and segment profit of $1,039 million was up 22%. It’s up 8% ex the deal that I covered on the other items page. So ex the deal, segment profit growth was driven by positive price, lower base costs, partially offset by negative engine mix. On the right side, healthcare, we had a good orders quarter. Fourth quarter for healthcare, orders of $5.4 billion were up 4%. Equipment orders of $3.4 billion were up 7%. Developed markets were flat but there was a big shift here. The U.S. was up 8%. Europe was down 8%. Emerging markets were up 24%, continued strength in the business. The Middle East was up over 100%. Russia was up 29%, China up 22%, Latin America up 21%, partially offset by India down 12%. By modality, CT was up 23%, MR was up 12%, ultrasound was up 11%, molecular imaging was down 8%, Life Sciences was up 5%, and MDx was down 3%. Service orders in the quarter of $2.1 billion were down 1% and total orders price was down 1.8% for the business. Revenue of $5.2 billion was flat driven by the growth markets, up 13% offset by the developed markets down 3%. And segment profit of $1,021 million was up 7% as the benefits of cost productivity and other income more than offset the negative price and foreign exchange. Organic segment profit growth for the business, if you look in the fourth quarter, it was up 1% and for the year it was up 3%. Next is transportation. Transportation team delivered another solid quarter despite a slowing topline. Orders of $1.3 billion were up 7%. Equipment orders of $600 million were up 20% driven by the strong international locomotive orders. We had orders for 100 locomotives versus 74 last year. We had strong mining orders, and mining is down a little bit actually, $151 million was down 7%, and service orders of $720 million were down 3% as fewer signaling orders offset strong locomotive service orders, which were up 14%. Revenues were down 7% on as expected lower locomotive shipments. We had a 117 locomotives this year versus 258 last year, just the way we planned the year and this was partially offset by the stronger service which was up 26% and mining revenues, which were up 57% Profit was up 12% on higher service and positive value gap. This is the first quarter we’re presenting energy management separately. The businesses here are Converteam, which is now power conversion, digital energy, industrial solutions, and intelligent platforms. Orders of $2.2 billion were up 12% driven by the strong growth in power conversion, oil and gas marine orders. Revenues of $1.9 billion were down 1% as lower intelligent platform sales offset the growth in power conversion which was up 6%. Segment profit of $64 million was up 36% with 90 basis points of margin expansion driven by a positive value gap more than offsetting lower volume. And on the bottom, Home & Business Solutions had a very positive quarter. With intelligent platforms now reported in energy management, this segment is just appliances and lighting going forward. Revenues of $2.1 billion were up 2% driven by appliances. We did see some strength in the contract channel from new housing starts and segment profit of $115 million was more than double last year’s fourth quarter driven by higher pricing and lower product costs. And to wrap up with GE Capital, Mike Neal and the capital team delivered another solid quarter. Revenues of $11.8 billion were up 2%. Higher core income, strong retail revenues, real estate sales more than offset the impact of lower assets. We ended the year with $419 billion of ending net investment, that’s down $26 billion from 2011 driven by the shrinkage of non-core platforms and over $20 billion lower than our $440 billion goal that we set back in 2009. GE Capital earned $1.8 billion in net income which was up 9%, that’s driven by great results in real estate, growth in consumer, and that more than offset the $200 million lower income from lower assets. On the right side, asset quality metrics showed continued improvement across the board driven largely by improved portfolio performance. Our net interest margin was 4.9%, up 49 basis points and we had strong volume of 54 billion in the quarter, up 11% from last year. Commercial volume was up 18% and consumer volume was up 8%, and new business volume averaged 3% returns. One other point that’s not on the page in the supplemental deck that we posted this morning you’re going to see reserves at GE Capital decline by $400 million versus the prior quarter. This decline is driven by a modification to our write-off policy in line with regulatory guidance, where we now write off loans against specific reserves that we are accounting for more than 12 months. So, the change had primarily impacted real state, and CLL, and it has no impact on our income statement and the net impact on the balance sheet is zero but we had higher write-offs and lower reserves at the end of the quarter because of that about $400 million. So if I go to highlights by business here, first, I will start with CLL. Net income of $544 million was down 30% driven by lower assets and prior year dispositions and also the non-repeat of last year’s IRS settlement. In the Americas, net income of $455 million was down 20%, that’s driven by the non-repeat of the tax item in the fourth quarter as well as lower assets. We did see strong volume growth in the Americas. In the fourth quarter volume was up 31% at 2.4% returns and in Europe, European CLL earned 83 million and was flat with last year. Our consumer business had another positive earnings quarter. We ended the year with assets of $139 billion, flat with last year. Net income of $755 million was up 22%, that’s driven by growth across-the-board in U.S. retail, in Europe, and in Asia. U.S. retail finance earned $477 million, which was up 3%, that’s driven by higher assets and better margins, partially offset by higher credit costs as we continued our reserve segmentation that we talked about in the fourth quarter. U.S. retail finance volume was up 9% over last year, and core Europe earned $154 million in the quarter. For real estate, commercial real estate had another quarter with significant improvements over last year. Assets of $46 billion were down $15 billion, that’s down 24% from last year, it’s down $9 billion or 16% from the end of Q3. So we do a good job of reducing our exposure to real estate. The business earned$309 million in net income, which was $460 million better than last year, that’s driven by lower losses and impairments, higher tax benefits, and higher gains. During the quarter, we sold 282 properties for $2.6 billion realizing $136 million in after-tax gains, and we also closed on the sale of the business properties book to EverBank resulting in $82 million of gains and $5.4 billion less real estate. Our unrealized loss on the equity portfolio was down to $1.1 billion at the end of the year and the outlook is that real estate is going to continue to deliver improved performance in 2013. Next is GECAS, they had a solid fourth quarter. Net income of $343 million was up 9%, that’s driven by higher gains and lower losses on impairments. Asset quality remains strong. We ended the year with two aircraft on the ground. And finally, energy financial services also had a solid quarter with earnings of $107 million, down 3%. So overall a great year, $6.4 billion of dividends paid back to the parent. With that, let me turn it back to Jeff.
Jeff Immelt: Great. Keith thanks. Just to wrap up on 2012 investor commitments, one last time on 20’12, we really hit all the major goals that we set out with you a year ago. We targeted strong Industrial growth and we hit 12% in the fourth quarter and 10% for the year. We said we would grow margins and we hit 120 basis points in the fourth quarter, 30 basis points for 2012, and we are on track for 70 basis points in ’13. We said we want to get cash out of GE Capital and we received $6.4 billion dividend to the parent. We said we would make GE Capital smaller and our ENI ended the year at $419 billion down 6%, even while we grew income by 12%. And we said capital allocation would be disciplined and balanced, and we returned more than $12 billion in dividends and buyback, and announced the $4.3 billion Avio acquisition. So, 2012 was a year where we really hit all of our financial commitments to investors. Looking forward in 2013, there is no change to our 2013 operating framework that we talked about in December. If anything we start the year with a higher backlog and more cash. Our commitments are similar to ’12. We plan to achieve double-digit Industrial earnings growth. We plan to receive a substantial dividend from GE Capital. We plan to grow margins while driving solid organic growth and our fourth quarter orders support this growth. And we plan to return substantial cash to investors through dividend and buyback. So our fourth quarter performance gives us confidence for 2013. I think GE team has done a great job of execution. And Trevor, now back to you for some questions.
Trevor Schauenberg: Great. Thanks Jeff and Keith. Diana, let’s open the phone lines for questions.
Operator: (Operator Instructions) Our first question comes from the line of Scott Davis, Barclays.
Scott Davis - Barclays: Hi. Good morning, guys.
Jeff Immelt: Hey, Scott.
Keith Sherin: Good morning.
Scott Davis - Barclays: It looks like most of the full year margin expansion came from value gap. Can you talk more specifically about 4Q to, 120 basis points is a pretty big number, if there is a way to, now think of that in terms of value gap versus maybe mix or cost?
Keith Sherin: Sure. I’ll give you both actually, because I think it’s helpful to look at the pieces. You said that in the fourth quarter value gap was big, it was 80 basis points. So the growth came from value gap. We had very strong pricing. We saw material deflation and you can see that the changes in order pricing are flowing through into revenue. We had, Equipment service mix was a drag, as you know it's been a drag all year along. It was 50 basis points, the same as we had for the total year as we had higher revenues on Equipment growth than on Services. And also you know the Wind story, higher Wind revenues that the lower margins has been a drag all year along. We offset that. There were two things. One, we did have the dispositions that was about 60 basis points in the quarter and we had strong productivity, which was 30 basis points in the quarter as we offset the impact of the negative mix, so overall 120 basis points. And for year it’s really a similar story, our value gap was 20 basis points, so that 30 basis points growth. We had a real drag on mix and other, that was in total 60 basis points, but we offset there were strong productivity, a lot of that is Simplification, our SG&A as a percent of revenue went down a 4-point. We have done a good job with cost and we've got great programs in place that will help us as we go forward in the ‘13 as you know. And the gains in total for the total year were about 7 basis points on the impact for the margin. So, pretty good performance, strength really value gap and productivity driving margin improvement both in the quarter and for the total year.
Scott Davis - Barclays: Okay. Helpful. Keith thanks.
Keith Sherin: Yeah.
Scott Davis - Barclays: And kind of stepping back to it a little bit of bigger picture question, the Avio deal seems pretty interesting and for many reasons. But when you think about taking a step backwards and is this part of a bigger trend and an opportunity to start to buy in some of the supply partners that you have that, that, I mean, there is multiple positives that can come out of that, I guess in risk reduction and controlling intellectual property and things like that. I mean, is there other things out there that you can do that are similar to this type of transaction?
Keith Sherin: Scott, we did a couple other joint ventures that you probably saw last year that enhanced our position and controls and fuel nozzles, and additive manufacturing and things like that. We think Avio made a ton of sense just given the amount of GE content and things like that. I would say, we don't have a bunch more on the drawing board. But what I would say is, we’ve got an incredible backlog in Skyline of aircraft engines coming at us for the next 5 to 10 years, and we believe that actually being able to drive real productivity in the supply chain and innovation in the supply chain is -- will likely be one of the real margin enhancers as we look at the aviation business in the next three, four, five, 10 years. So it is part of a bigger productivity play. I don't think there is necessarily things like Avio on the drawing board per se, but we continue to look at productive manufacturing of a well identified backlog as being a major source of margin benefit for our investors going forward.
Operator: Your next question comes from the line of Steve Tusa, JP Morgan.
Steve Tusa - JP Morgan: The China growth of close to 20% remains a pretty strong. Could you maybe talk about what was above and below that average, and how you see that playing out in 2013? And you guys have skated through the weakness there pretty nicely.
Jeff Immelt: Steve I would stay we definitely saw China strengthen again at the end of the year. The big drivers of China continue to be healthcare and aviation, and we believe that the China momentum will likely continue into 2013. So I don’t know, Keith, you want to…?
Keith Sherin: Some V’s I’ll give you for the quarter, power and water had a big quarter. They were up over 30%. Healthcare had a big quarter, up 15%. For the year they were up over 20%. Aviation continues to be very important to us for the year up 18%. There were some orders that we had pushed out of the third quarter, still pushed out of the fourth quarter, so we expect some more orders in aviation in China in the first quarter. So those three are really the strength and we continue to see investments by the government in those industries, and we’re benefiting from the move to gas in China a bit, the great emphasis on healthcare and certainly on transportation with the aviation position we have.
Jeff Immelt: There is a knock on, Steve, as well as China grows. You see more activity in Africa, Brazil, and places like that as well. So it’s -- it has a knock-on effect that’s also positive.
Steve Tusa - JP Morgan: How big is your China business going to be at year end now?
Keith Sherin: The revenue for the year was just a little under $6 billion in 2012.
Steve Tusa - JP Morgan: And then one last question just on margins, I guess the value gap obviously is ramping here. That doesn’t seem like that’s lumpy, so you had your biggest quarter obviously in the fourth quarter which means you should probably start the year with a pretty decent value gap in the first half and then maybe if you would talk about how those other swing factors like mix, the other things you talked about in the bridge progress as you move through the first half of 2013, if there is anything lumpy that you need to call out that may impact the 70 basis points first half to second half type of thing?
Jeff Immelt: Steve, again as I look at margins, I think value gap is pretty well dialed in structural costs, what Keith talked about SG&A as a percentage of revenue, that should continue to get better. Those two aren’t necessarily lumpy. Service margins aren’t really lumpy. We continue to get good progress there. My view is Wind will be lumpy, right, as you think about how it plays through the balance of 2013. And the one that we don't really control so much is how mix goes through. So I’d say a lot of the levers should continue with pretty good progress and the one that we will manage as year goes on is just the impact of -- there will be a $0.03 headwind in wind, and we don’t see that necessarily changing and that’s something to play through. We feel confident in the 70 basis points for the year.
Keith Sherin: We’re not really giving quarterly margin guidance but as Jeff said for the year based on those factors we feel pretty confident we have internal plan that’s above the 70. We don’t have any gains that are in the plan to get to that 70 and we’ve got some good momentum as we come out of the fourth quarter on the margin improvement.
Operator: Your next question comes from the line of Jeff Sprague, Vertical Research Partners.
Jeff Sprague - Vertical Research Partners: Hi, just looking for a little more color around orders. Just first at a high level, you are calling the quarter flat at 11.8 but I see 12.5 last year in the quarter. What’s going on there?
Keith Sherin: I think it’s the energy recast and eliminations.
Jeff Sprague - Vertical Research Partners: Yeah. I’m talking about service in particular actually.
Keith Sherin: Yeah. That’s what we have. We have a recast from Summit services went into equipment I believe.
Jeff Sprague - Vertical Research Partners: Okay.
Keith Sherin: (Multiple Speakers) about the corporate. We gave that split, , it’s a little bit of decoder ring. I don’t have the details with me, Jeff.
Jeff Sprague - Vertical Research Partners: Okay. And then just on the power-related stuff. So power and water in aggregate, price was down 20 bps but I think you said Keith just trying to keep up with your thermal was up 1. Is that thermal number just equipment or is that service and can you provide any color on service pricing in the business?
Keith Sherin: Yes. The number I gave was the total business. Thermal and PGS were up one in the quarter. If you look at -- I don’t have a separate breakout for services for the fourth quarter. I have thermal in total.
Jeff Sprague - Vertical Research Partners: Okay.
Keith Sherin: But if you look, we’ve -- all year long in thermal, it was positive in the first and second quarter, it was a little negative in the third quarter, it was positive in the total year, it was up half a point for thermal equipment and service.
Jeff Sprague - Vertical Research Partners: And then just finally, flipping over to Aero, so the ADOR stabilized, do you have visibility you think at the after markets, kind of, found the bottom and inflecting or is it early to kind of determine that?
Keith Sherin: Yes. I think the way the team has talked to us about it and in the market, you continue to see pretty good revenue passenger-miles lumpy in 2012 but recovered a little bit at the end of the year, and for us to have flat ADORs, it’s given that there was an awful lot of working capital management in the supply chain and some mix for us with the old CF-6s on freight was a positive sign. Right now, the team is forecasting a little bit of improvement off of that fourth quarter rate in the first quarter, and we’re going to have to see as we go through the quarter, it is too early in the quarter right now to know and a couple weeks in, but they are forecasting, it will be improving over the [fourth] (ph) quarter levels.
Jeff Sprague - Vertical Research Partners: And any concern about your GEnx productivity ramp with maybe things backing up with Boeing, if you’ve get any thought on how things might play there as it relates to you?
Keith Sherin: Well, we’re going to have to see. Right now, we haven’t had any schedule changes from them. Actually, as you know, if there are few less engine shipments that’s not a bad thing in terms of margins -- based on the margins on the initial GEnx shipments. We had a great year on GEnx, Jeff. We came down the learning curve. Obviously, some of the pricing that you’re seeing in aviation is coming through on GEnx. There was an improvement on margins per units in those shipments. So we don’t anticipate it to be a big deal, but again we’ve got to see Boeing kind of work their way through the problem. Just a little number on our engines. On the 1B we’ve had 35,000 flight hours with 99.97% dispatch reliability. And on the 2B, on the 747, we have 310,000 flight hours with 99.94% dispatch reliability. I mean, the engine is performing very well in the fleet, and customers love it. So we have got to work through Boeing. And we’re trying to help them with whatever they’re working through, and we will, but so far for us, we’re very pleased and our customers are very pleased with the GEnx.
Jeff Sprague - Vertical Research Partners: Okay. Thank you very much.
Keith Sherin: Thank you, Jeff.
Operator: Your next question comes from the line of Andrew Obin, Bank of America Merrill Lynch.
Andrew Obin - Bank of America Merrill Lynch: I guess, good morning.
Jeff Immelt: Hi, Andrew.
Andrew Obin - Bank of America Merrill Lynch: A question, a broader question, given the resolution, partial resolution of the fiscal cliff, are you seeing any improvement in sentiment from your customers in the U.S.?
Jeff Immelt: Yes. I mean, I think there is certain tangible things like the production tax credit, Andrew. So, that basically opens up a two-year window. So I would say on balance that’s more positive, and we hear more positive comments coming out of the renewable energy sector. Other than that, Andrew, I wouldn’t say that we’re necessarily picking up whether or not that’s been deliberating or not. The shortest cycle business in GE is our appliance business. We get appliance market data every week and the industry itself was about flat in December and the industry itself is about flat through the first couple of weeks of January. So is that helpful?
Andrew Obin - Bank of America Merrill Lynch: And Just a question on GE Capital, do you think these ROIs are sustainable? Are you seeing more competition, we’re entering the space and any more color by segment on ROIs and new business? Thank you.
Keith Sherin: It does vary. I think on some things like asset back lending, we’ve seen some more competition. But in other places, we’ve had less competitors. Overall, for CLL in order to do $14.5 billion in the Americas that are 2.4 in the quarter, that’s pretty good volume and at a pretty good rate. So the team has been very disciplined on pricing and margin hurdles, and so far we have been able to get the volume we wanted at the return hurdles that we’ve set. And we expect to see that continuing in 2013. I think we saw a little bit of a bubble with the fourth quarter from some of the fiscal cliff activity as people did a lot of refinancing and tried to get gains on sales of their properties out in the quarter. But other than that we've been pretty disciplined on pricing and we expect it to continue to be reasonably good.
Jeff Immelt: All I would add is exactly what Keith said, some of this is our own discipline about where we’re going to write business and we've been exceptionally disciplined. And I think the fact that volume was pretty good in the quarter, kind of lets just get the sense that we’re in the market and our disciplines are appropriate.
Andrew Obin - Bank of America Merrill Lynch: And on asset quality we’ve seen changes to consumer, we’ve seen changes to CLL. Any more policy changes on the line?
Jeff Immelt: Well, those were two that we’re working through. I think we’re significantly through the consumer as far as the segmentation, there may be a little more in the first quarter. And on the write-off this was just -- there is regulatory guidance and we are complying with it. I am not aware of any other besides those two right now.
Operator: Your next question comes from the line of Deane Dray, Citi Research.
Deane Dray - Citi Research: Sticking with GE Capital, a question on provisions, it looked like you absorbed at least a penny more than what we were looking for. But now that I look at the consumer delinquencies they are at the 18 year low. So I raise the question, I know this is completely formulaic and it’s out of your discretion. But when might we start seeing some releases of reserves?
Jeff Immelt: Well, I don’t anticipate that. I can tell you right now what we’re basically, I think a simple rule of thumb to look at the consumers you’re probably going to be looking at 12 month of reserves or provisions for losses in that book. While we have seen delinquencies come down and you're right, we have a tremendous asset quality there. It’s the best we have seen as you said. We have increased the segmentation of the portfolio to be more granular on different loss types and that’s added through provisions. You can see in the fourth quarter provisions dropped, some of that’s volume and about $50 million to $60 million after-tax of that is additional segmentation of the reserve to get to the 12 month kind of proxy here for loss levels.
Deane Dray - Citi Research: And then can you comment on the MetLife bank integration, any changes to the business model there? And a related question is as you start increasing this alternative financing where -- alternative funding you’re expected to issue less commercial paper and maybe that, the aggregate amount of commercial paper coming down might actually give you better spreads, better financing and maybe if you can comment on that as well.
Jeff Immelt: While we’re thrilled with the MetLife close obviously we’ve put it in the consumer bank. The objective here is to grow our deposits online and they give us a franchise and a capability to be able to do that. Our expectation is that we’re not only going to do that in the consumer back but we’re going to migrate that over to the commercial bank. And we’re going to do more online deposits. As you said, our objective is to get the CP down in the 30 this year and continue to reduce CP, and we have been very successful with doing that. And we will continue -- I think you look at the trade-off of cost of deposits versus CP plus the bank lines, whenever backup cash we carry, I think this can be a good trade-off over time for us as we continue to diversify our funding.
Deane Dray - Citi Research: But is it too early to quantify what that spreads might be?
Jeff Immelt: Yeah, I think you’re not going to see that from a -- I mean CP is at 20 basis points steam, so you’re not going to see a big number on that in 2013 for GE Capital. I think you will get a benefit from having less negative carry on the cash. Now if you look at last year we took the cash of 70 plus billion dollars, we’ll have a carry of around somewhere between 50 and 60 this year, that will probably be the biggest increase in sort of the financing margins. Last year we had net maturities of $48 billion reduction in GE Capital. So it was a fantastic year for Capital on a balance sheet basis to kind of lower the amount of debt and improve their future debt maturity profile. As you know, we’re going to have $30 million to $35 million of long-term debt issuance a year now from a significantly higher level. So I think the Capital team has done a job. The biggest benefit you’ll see will probably be on little less negative carry on the cash.
Deane Dray - Citi Research: Great. Thank you.
Keith Sherin: All right.
Operator: Your next question comes from the line of Steven Winoker, Sanford Bernstein.
Steven Winoker - Sanford Bernstein: Thanks. Good morning.
Keith Sherin: Good morning, Steve.
Steven Winoker - Sanford Bernstein: Just first a follow-up question to an earlier one. We -- the question was around the order report today versus a year ago in the Q4 ’11 press release. Can you talk about moving from Services to Equipment? If you look at the total, so I’m just trying to understand that the total, I guess a year ago was $28.6 billion in the press release and this year it’s $28.5, and you talked about just 2% increase? So when you look at the overall level, how much is it or how should I understand that, what’s the gap?
Keith Sherin: To recast the orders are basically flat. There are up $56 million ex-Wind and FX, 5%, sorry, up -- they are up 5% ex-Wind and FX. So the recast we put a little bit more incorporate out of the energy infrastructure recast, but I think it’s insignificant.
Steven Winoker - Sanford Bernstein: Okay. All right. Fine. And then secondly, on the -- on Avio, just so I understand this, they produce the gear system obviously for the GTF on A320NEO and CSeries. I think they are pretty deeply involved in the development program and you are also calling out $200 million of synergies. Just how you are thinking about, how does that handle, how do you handle that going forward?
Jeff Immelt: Well, look, there are ton of different developmental programs inside the industry that people work on together. We do engines for Sikorsky. We buy it from Goodrich and Hamilton Sundstrand. So there is always, I’d say a certain amount of developmental work that goes on inside the industry. I think what was most appealing about Avio for us was really the amount content they had of GE engines. I think giving more control over our own supply chain, building capability, more reliability, leveraging, sourcing and manufacturing skills, things like that, that’s really where we see Avio paying off for investors.
Steven Winoker - Sanford Bernstein: Okay. And then maybe just last, I guess, Aviation is now up to about half of the backlog, and as Boeing and Airbus orders start to decelerate at this point. Is the thought that the backlog that Oil and Gas, and if you see that backlog maintaining are now starting to come down, they start running it off a little bit and getting it into the -- into revenues?
Keith Sherin: Well, you’re going to, you are obviously right, you are going to see and we’ve talked about it the last six months that with the Aviation backlogs of three to four to five years of Equipment, you are going to see lumpiness in those orders. We feel great about the position and obviously, as the Airbus and Boeing, airframers increased their production run rates we are going to continue to see volume growth as you see in ’11 to ’12 and ’12 to ’13 we expect more commercial volume growth. But I would expect the orders to be lumpy. The one offset to that as you’re starting to see the Leap Max orders come in and so that will be an offset as you know there has been pretty good success in the marketplace from the 737 Max.
Jeff Immelt: But I think it’s a great question, I don’t think, I don’t think either Keith or I ever thought we have $210 billion of backlog in GE. But I would say in the kind of volatile environment we leave in today, having that kind of visibility is actually quite a strong aspect and maybe Aviation feels off little bit. But Oil and Gas, our orders in Oil and Gas are $0.5 billion or $1 billion in the crack. So it’s easy to see how that order rate might continue with the rate it’s on today and add to the backlog.
Steven Winoker - Sanford Bernstein: Okay. And then Jeff, you mentioned that you still expect a $0.03 impact on Wind, the tax credit extension, obviously you got moved into through 2013, so that’s not changing, thinking about the end of the year?
Jeff Immelt: Really, not yet, it just a, there is a, it really opens up a two-year window. So, I think, in aggregate over the next two years it’s going to increase the number of Wind shipments we are going to have, but exactly which quarters and stuff like that is hard to predict.
Keith Sherin: As you know that the PTC extension is a little different this time, Steve. It’s a -- the units will have to be in production by the end of the year and that’s yet to be defined.
Jeff Immelt: Yeah.
Keith Sherin: But it’s not the same as last year where they had to be actually operating.
Jeff Immelt: Yeah.
Keith Sherin: So, I think, it’s all good for ’13 and ’14.
Steven Winoker - Sanford Bernstein: Okay. Great. Thanks.
Jeff Immelt: Thanks Steve.
Operator: Your next question comes from the line of Shannon O'Callaghan, Nomura
Shannon O'Callaghan - Nomura: Good morning, guys.
Jeff Immelt: Hey, Shannon. How are you?
Keith Sherin: Hi, Shannon.
Shannon O'Callaghan - Nomura: Good. So just in terms of the back to the orders, FX and ex-Wind being up 7%, I mean, at the December meeting I think you had said up a smidge and this sounds better than the smidge. What finished stronger I guess in December than you thought at the meeting?
Jeff Immelt: Look, there is a little bit of volatility going out there and we always try to give you guys a range of outcomes. One of our biggest industrial businesses went from having orders down 24% in October to having orders up 27% in December, and the total being up 7% for the quarter. So that's a big swing. That’s a big swing. I would say Shannon, on balance we closed the quarter very strong. I would say all the businesses had good order books as we closed the quarter probably above even what our expectations were. I think that’s good news. What that means or is it lumpy or things like, I think it’s too soon to call victory but clearly the momentum built during the quarter.
Shannon O’Callaghan - Nomura: Then healthcare was probably the biggest swing?
Jeff Immelt: Yeah, yeah.
Shannon O’Callaghan - Nomura: And power and water margins, so you’re seeing, ex-wind they were up 300 bps, I mean the wind mix should be actually favorable from here. But that seems like an awfully high year over year run rate. So are there things that prevent us from continuing to track that kind of a rate?
Jeff Immelt: Well, the services business had a great quarter, so we really -- a lot of what we talked about in terms of services, I’d say fourth quarter was fantastic and there’s -- the mix for the business ought to be great for -- better for 2013. So we’ll just see how the shipments work and all that kind of stuff. But…
Keith Sherin: You look at 2012, I mean wind revenue was up close to 50% and the margins are down a couple points and they were already below-average for the company. So this had a huge 20 basis point impact on the total year, on the total company. And I think as you go into ‘13 you’re going to have a couple billion dollars less of wind revenue. So we do expect that to be a positive. I don’t know if you get to a full 20 basis points, we’ll have to see how the PTC impacts that but will be a net positive versus what we saw in 2012, Shannon.
Shannon O’Callaghan - Nomura: And just your M&A plan has been fairly modest but if you get NBC proceeds sort of sooner than the base plan, are there enough things out there that you see opportunities to redeploy very quickly into industrial deals or would you look for something else to do with the cash?
Jeff Immelt: Shannon, I just don’t even want to speculate on how that plays out. I think we talked about balance and discipline, capital allocation, I think that's really the way I feel. We like having a good deal. We like the fact that we returned more than $12 billion cash to shareholders last year. We like having kind of a focused approach to acquisitions and if our world changes we’ll come back and talk more about it but right now you shouldn’t assume any change.
Operator: Your next question comes from the line of Julian Mitchell, Credit Suisse.
Julian Mitchell - Credit Suisse: My first question is really just on the value gap, you mentioned it’s not really lumpy but if I look at your mid-December presentation, you had a double plus of value gap as the margin driver in ’13, and today it’s a single plus. I just wanted if that was because of something like healthcare pricing in the quarter being less than you thought in orders or what drove that?
Jeff Immelt: I think there is really no change in how I feel about value gap next year. It’s good solid 330 this year, it will be better than that next year.
Keith Sherin: And I think if you look at order pricing overall you look at our total order price index, for the company it’s been positive all year along 2012 and in total it was a positive 0.5 point, 50 basis points in the fourth quarter for the total year of deposits of 60 basis points. I don’t think -- I think pricing is not going to change and our view continues to see strong…
Jeff Immelt: Well, we think it’s going to be above both.
Julian Mitchell - Credit Suisse: And then secondly, in mid-December you talked about 5% services revenue growth in 2013, if I just look at the orders in services, that went down 2 year on year in Q2, down 4 year on year in Q3, flat in Q4. So are you still comfortable with that 5% services revenue growth through ‘13 just given that the orders haven’t been that strong for nine months or so?
Keith Sherin: Actually, these are lumpy. The orders here are probably lumpier than others, particularly with the CSA. So I would say we have a huge backlog. And then our estimate of 5% organic revenue growth in services really assumes that aviation spares has a better 2013. So I think the combination of the fact that you get $157 billion backlog. Sometimes what’s goes in the orders of 10 or 15 years of commitment, right. So those goal based on sharp business and stuff like that, that we can model that makes us feel good about it. And some pieces really, we’re expecting aviation spares to bounce back and those two things, I think really lead you to 5% service organic growth.
Jeff Immelt: If you look we had 4% revenue this year with aviation flat, just point is really one of the key differences what we expect in 2013 in aviation.
Julian Mitchell - Credit Suisse: Got it. Thanks. And then just lastly on gas turbine shipments for ‘13, I mean, I’m thinking they should be down maybe around 10% or so year-on-year. Does that sound about right?
Jeff Immelt: Basically, right now if you look we had 108 orders for the year. We’re forecasting somewhere 100 gas turbines for 2013. And we’ll see how the market plays out. So they’re going to be down versus 2012. I think the factors to think about the thermal business itself on the equipment side is about 9% of out profit for the energy business. So, really the dynamic for us is going to be how do services perform. We got a big growth forecast in for services. How does distributed energy perform? We’ve got a nice orders performance in the quarter and we’ve got a good outlook for 2013. And how do they do on controlling the cost? Those are going to be really the dynamics but the energy team is going to be working the way through.
Keith Sherin: And the megawatts will be bigger. Unit mix is higher on that.
Julian Mitchell - Credit Suisse: Great. Thank you.
Keith Sherin: Thanks, Julian.
Operator: The next question comes from the line of Christopher Glynn, Oppenheimer.
Christopher Glynn - Oppenheimer: Thanks. Good morning.
Jeff Immelt: Hey, Chris.
Keith Sherin: Hey, Chris.
Christopher Glynn - Oppenheimer: The backlog building nicely in orders better than expected as of December. I guess, sort of the lowering of the organic growth in December and that played out as you predicted, it was maybe a bit of an abrupt deferral with backlog conversion. Can you characterize how you see that unfolding from here? Does that tend to favor the first half and where does that focus your bias in the 2% to 6% organic range?
Keith Sherin: Well, look, I don’t want to change to necessarily to 2% to 6%, Chris. What I would say is that the way we finish the year, the building on the backlog, I’d say the strength of orders makes us feel good about next year and makes us feel good about the momentum we have going into next year. And then the only thing I’d add to that vis-à-vis organic growth and how it splits. Again, we don’t do some point estimates. It’s just wind is lumpy and wind is going to continue to be lumpy in the future. But if you take that out, the rest of the company, I’d say you feel pretty good about where we’re positioned going into next year. You had pretty good data -- really you had five of six businesses with what I would call robust order growth in the quarter from an industrial standpoint.
Christopher Glynn - Oppenheimer: Okay. And then just one on GE Capital, regarding the systematically important financial institution and the buffer needed for capital. Could you give any updates on the limitations on capital payout and with respect of your shrinking the balance sheet, is there any reason GE Capital will need to retain any earnings at some point in the future?
Jeff Immelt: Well, that’s a good question. I think for us what we have to make sure is that we’re meeting what we need to have to be -- from a regulatory perspective and from a rating agency perspective and from a management perspective safe and secure. We expect to be well capitalized in any scenario under Basel 1 or Basel 3. We’re going to meet the liquidity requirements that regulators have. And our objective is to be able to release capital as we continue to shrink the book as you say continue to generate profitability. And for us, we think we’re in pretty good shape on that. You saw our success in 2012. We’ve got number-one strong earnings. Number two, we had strong liquidity with over $60 billion of cash, less than $35 billion of long term debt we’re going to issue this year, and we already completed nine of that. We have strong capital ratio as you saw we ended the year with tier 1 coming at 10.2 Basel I. We reduced our overall debt by over $45 billion last year. We’ve got strong portfolio quality. Delinquencies are down, non-earnings are down, and we continue to make strategic progress on running off the red assets and reinvesting in the green assets. So I think when we look at what’s going on from a regulatory perspective we have not been designated as the systemically important institution yet. We are in discussions, and the main issue that happens when you're designated is that you’re going to be supervised by the Federal Reserve. We’re already supervised by the Federal Reserve. So we'll see how that plays out but we believe that we have a pretty good framework against the regulatory guide posts and we’re continuing to operate in a way that runs the company from a safe and secure perspective while also being able to be mindful of returning cash back to the parent and get that back to the investors. So I think we’re doing a pretty good of this. I think Mike Neal and his team had a great year against those objectives and we’ll have to see how that continues to play out.
Operator: Your next question comes from the line of John Inch, Deutsche Bank.
John Inch - Deutsche Bank: Lots of moving parts between the segments and the results versus the outlook in orders and pricing. Can you just -- is there any way to do a little bit of a quick recap in terms of pricing particularly in Thermal but maybe you could parse that between gas, turbine, or just some of the other segments, Keith or Jeff, that are noteworthy? What’s different about fourth-quarter pricing in backlog specifically on orders versus what you saw last quarter?
Keith Sherin: Well, if you look in the third quarter our parent order in total was down 1.9, and in the fourth quarter it’s down two-tenths. I said thermal including services went from a negative 2.7 in the third quarter to a positive one in fourth quarter. Wind was down 36 in the third quarter, that’s up four-tenths in the fourth quarter on fewer orders obviously. So those are some of the bigger pieces. Oil and gas third quarter 1.6, positive pricing fourth quarter 1.3 on high orders. Aviation continued positive pricing 2.3% positive in both third quarter and four quarter and healthcare continues to have the negative pricing 1.7 in the third, 1.8 in the fourth quarter. So overall we went from a tenth of a point positive price in the third quarter to 0.5%, 50 basis points positive in the fourth quarter. And it's a big area of focus, obviously as the whole team is working on improving margins and I think they’ve got some pretty good traction here. I think the supply demand characteristics are what they are by business but overall for the portfolio to have 0.5 point of positive price a good place for us to be is the fourth quarter.
John Inch - Deutsche Bank: I agree. Is the thermal price that you are getting, is that mix or are you actively trying to raise pricing? Or how -- what’s going on there?
Keith Sherin: I think thermal pricing is lumpy, I would take it for the whole year, a half a percent up with equipment and services, that’s kind of the way we look. We’re expecting it to be flat to slightly positive for the year, Steve [Wolf] said it was going to be a little lumpy. And I think that's about where we are, obviously with the market where it is, I mean the supply demand characteristics are tougher in thermal. And on the other hand, you look at oil and gas, on the supply chain tightening, they are better in aviation. So I think it varies by business but overall we hit what Steve said a little better for the total year on thermal and 0.5 point up.
John Inch - Deutsche Bank: Jeff, with the eventual monetization of NBC and Capital as equity investments and red line assets that are going to come off, is your company between that and operating cash is going to throw off an awful lot of cash flow over the coming years. Would you be able to reaffirm your commitment sort of not to be doing big deals or anything beyond one to three? Avio was a little bit bigger but it's still in the zone or are you thinking about perhaps in a year or so perhaps stepping that up or how should we think about that at this juncture?
Jeff Immelt: Again, I was just -- I would make two comments. I’d just say -- I don’t really want to make any other pronouncements other than kind of disciplined and balanced capital allocation. I just really -- we’ll go over the other bridge as we get there but let’s start with that. And the second thing, I’d reaffirm your first point, I think is one that's good for all investors to remember is, this company is going to have a tonne of cash over the next three years, right. Between -- whatever happens with NBC Universal between kind of as we look where we think GE Capital versus the guide post Keith talked about there is going to be a lot of cash. So lets leave it at that -- let's leave it with those two comments for right now John.
John Inch - Deutsche Bank: That’s okay. And I’m (inaudible) confuse with Steve, so no worries. Thank you.
Jeff Immelt: Okay.
Operator: The next question comes from the line of Nigel Coe, Morgan Stanley.
Nigel Coe - Morgan Stanley: Thanks. Good morning.
Jeff Immelt: Hey Nigel.
Nigel Coe - Morgan Stanley: So speaking of the tonne of cash you just mentioned Jeff, when do you expect to have signoff for the capital allocation plan for GE Capital. Are you on the same schedule as the banks which I think they stress test resulted in March?
Jeff Immelt: Yeah. Nigel, we’re not one of the major banks that goes through that systemic process every year. We do go through own process. I would say the best outlook would be to think of it as a mirror of 2012. And we will go through a lot of exact same steps with forecast and stress test and capital plans and all that. But last year, we had final decisions on that in the second quarter. And I would anticipate it would be the same in 2013 right now.
Nigel Coe - Morgan Stanley: Okay. That’s helpful. And then searching back to December, it seems that December came in stronger than your, maybe your initial thoughts back in the annual meeting. Anything standout in terms of regions, the U.S. versus growth market versus Europe. Any one retail standouts in terms of that bump up in December?
Keith Sherin: We saw a little bit of strength in U.S., I’d say in healthcare and appliances. And we saw a tonne of strength elsewhere, I’d say natural and we saw more that in oil and gas and aviation, energy, really across the board so. Again I think it’s fits the broader, it fits the broader, I’d say dialog and that we kind of think the growth markets will continue to grow in ‘13. And I want to think about the U.S., you’ve got a slow and steady housing recovery that I think is very positive. And then there is still lot of physical uncertainty and how those blend through into U.S. GDP in 2013, we’ll see.
Nigel Coe - Morgan Stanley: Okay. And then finally on getting them at life field, how does that deposit base impact your flexibility and optionality with regard to PLCC?
Keith Sherin: Well, we’ll see. I think diversified funding base is good in that regard. Right now, we already in that business as you know a lot of it is financed by deposits, alternative funding and securitization. So now we’ve got a kind of a different kind of deposits, more internet bank deposits. And at the end of the day, having more diversified funding, I think does give more flexibility for future activity. We don’t have anything of that going on right now but I think just from having a more diversified funding based, you would have more optionality.
Nigel Coe - Morgan Stanley: Okay. Very helpful. Thanks guys.
Jeff Immelt: Thanks.
Operator: The next question comes from the line of Brian Langenberg, Langenberg & Company.
Jeff Immelt: Hey, good morning Brian.
Brian Langenberg : Hey guys.
 Langenberg & Company: Hey guys.
Keith Sherin: Good morning
Brian Langenberg : Good morning, Jeff. Just a couple of things, I’ll do a bunch of follow-ups latter. Just review first briefly your total exposure of 787, obviously this is transitional or transitory? And then secondly, in terms of the power cycle, I mean, I think we’re pretty much looking for 2014 overall upturn. With power, are you thinking about potentially what the impact is in its cycle from, where I call to me and management either on companies making your buildings 20% more efficient or using grid to make -- of your utility, using your grid to make your existing generation capacity. Let’s call it an ops management for utilities, if you will, just if you can address those two things?
 Langenberg & Company: Good morning, Jeff. Just a couple of things, I’ll do a bunch of follow-ups latter. Just review first briefly your total exposure of 787, obviously this is transitional or transitory? And then secondly, in terms of the power cycle, I mean, I think we’re pretty much looking for 2014 overall upturn. With power, are you thinking about potentially what the impact is in its cycle from, where I call to me and management either on companies making your buildings 20% more efficient or using grid to make -- of your utility, using your grid to make your existing generation capacity. Let’s call it an ops management for utilities, if you will, just if you can address those two things?
Keith Sherin: I’ll take a shot at the aviation first. Then you can talk about energy. Maybe -- if you think about 787 exposure, we obviously have inventory, our plan for 2013 we shipped 113 GEnx engines in ‘12. Our plan would be to ship 200 engines. So we’ll see where Boeing goes with that. As I said, we haven't had any changes to the demand production schedule from Boeing on that yet and a bunch of those engines are on 747 as well. So, for us, I think, if there is a push out of some engines in the first quarter, we may have a little more inventory and having less engines and RevRac maybe slight positive for margins. I mean, I don’t really know the difference between what we are going to do this year versus what we did in the first quarter last year until we get finalize the Boeing. But I don’t see a material impact on this, on us at all and as I said, the engines are performing extremely well. So, we feel good. The customers love this plane. They’ve had a ton of positive feedback and Boeing has to work through this issue and they will work through, we are confident of that.
Brian Langenberg : Okay.
 Langenberg & Company: Okay.
Jeff Immelt: I would echo what Keith said, I think this is an immensely popular airplane, fuel efficient, passengers like it, airlines like it. So we are here to support Boeing wherever it goes on this 787, on the Dreamliner. On Energy, I think Brian, we already factor in the fact that there is going to be an impact on demand side management, on demand for electricity. And you factor that into I think an overall health of the Gas portfolio vis-à-vis what happens with nuclear, what happens with the EPA. And then, demand growth in places like Saudi Arabia, Algeria, places like that that still remains I think intact. So we try to factor that all in, but we also do factor in Energy Management, but we also benefit from that in our Energy Management business.
Keith Sherin: Yeah.
Brian Langenberg : Okay. Thank you.
 Langenberg & Company: Okay. Thank you.
Jeff Immelt: Great.
Operator: We will take our final question come from the line of Daniel Holland, Morningstar.
Daniel Holland - Morningstar: Hi there. Good morning.
Jeff Immelt: Hey, Dan.
Keith Sherin: Hi, Dan.
Daniel Holland - Morningstar: Just curious what was pushing Industrial CFOA number down, I guess about 2% year-over-year, just considering the profit growth than the overall business this year?
Keith Sherin: Yeah. Really the biggest dynamic for us Daniel is in the Wind business. The Wind business has significant progress collections in prior periods and in total the Wind business was a drag on working capital in 2012 of about $1.5 billion. So, the rest of the businesses with their earnings growth and management working capital we are able to overcome that. And then as you know, we had about $400 million of pension funding that we did that we didn’t have any in 2011. So that $400 million was also part of the [GE]. But the biggest, biggest driver for us on working capital is a drag in the year was wind. And the businesses overcame that.
Daniel Holland - Morningstar: Got you. And one last one, just thinking about margins for next year and kind of simplification strategy you guys have identified. If you think about on a segment-by-segment basis, I mean, where the biggest opportunities are, that you guys see and kind of which ones might have already had the biggest benefit from simplification so far?
Keith Sherin: It’s pretty broadly across the company, Daniel. We have every one of our teams working on lowering their structure. So having more consolidated high level P&Ls, we have everybody participating and putting their back offices into centers of excellence and more shared services across the company. And we have a common IT, initiative across the company to reduce our general ledger and enterprise resource planning systems that is pretty much across the portfolio. So everybody is participating, everybody has cost targets and it’s pretty broadly.
Jeff Immelt: We’ve got a lot of good restructuring projects that are year, year and a half or two year paybacks. So we’re lined up and we think we can keep the structural cost, keep going down as a percentage of revenue. Our target is to really accelerate that.
Daniel Holland - Morningstar: Great. Thanks.
Jeff Immelt: So, Trevor, thanks to everybody. I just, I think the team feels really good about how we did on delivering our commitments in 2012. We’ve identified very clearly our 2013 commitments, which we believe are very competitive against our peers and we’re going to be off executing against that going forward.
Trevor Schauenberg: Great. Thanks Jeff. Just to wrap up, everyone, the replay of today’s webcast will be available this afternoon on our website. We’ll be distributing our quarterly supplemental data schedule for GE Capital shortly after this call. Just the one announcement, our first quarter 2013 earnings webcast will be on Friday, April 19 for your calendar. So as always, we’d be available today to take questions. Thank you, everyone.
Operator: This concludes your conference call. Thank you for your participation today. You may now disconnect.